Operator: Hello, and welcome to the BIC's Q1 2025 Net Sales Presentation. My name is George. I'll be your coordinator for today's event. Please note this conference is being recorded and for the duration of the call, your lines will be in the listen-only mode. However, you will have the opportunity to ask questions towards the end of the presentation. [Operator Instructions]. Now I'll turn the call over to your host this evening Mr. Brice Paris to begin today's conference. Please go ahead, sir.
Brice Paris: Good morning, and welcome to BIC's First Quarter 2025 net sales update. I'm Brice Paris, Head of Investor Relations. And we are in Shelton today with Gonzalve Bich, our CEO; and Chad Spooner, our CFO. This call is being recorded, and a replay will be available on our website with the presentation and press release. We'll start with the presentation followed by a Q&A session. First, please take the time to read the disclaimer at the beginning of the presentation. With that, I now give the floor to Gonzalve.
Gonzalve Bich: Good morning, everyone, and thank you for joining us today for BIC's first quarter 2025 net sales conference call. I'll begin with a summary of our performance in the first quarter, then, Chad will take you through our net sales performance in more detail. Let me start by saying that the first quarter of 2025 has been very challenging. We all know the market conditions have been tough and fast changing, particularly in the U.S. and we're also up against a strong set of comparables year-over-year in other regions. Given the turbulent market conditions, we've remained laser-focused on what we can control. Over the years, our horizon strategy has built strong operational agility, helping us to successfully navigate tough markets. Our teams are deploying all of the tools at their disposal to help us weather an extremely unpredictable macroeconomic environment. Let's begin with a comment on the U.S., where the increasingly difficult and fluid environment has significantly impacted consumer behavior. Consumer confidence has experienced a sharp decline during the first quarter with shoppers becoming much more cautious about their spending, especially in discretionary categories. As a result, we're seeing consumers trade down in some product segments, such as lighters and stationary items. That said, all three of our market categories in the U.S. declined more than we expected and were certainly worse than what we'd experienced in 2024. The U.S. stationary market was down 2.7% in value with the Ball Pen segment where we are most exposed down 8.2% year-to-date. The pocket lighter market declined 6.8% and U.S. disposable shavers are also down 3.8% in value. In addition to this, the ongoing discussions around U.S. tariffs have contributed to a climate of huge uncertainty. We're closely monitoring the evolving situation and its potential impacts. As you all know, the situation remains highly dynamic and changes often, which continues to drive market volatility. What I can say is that the way our operations in the U.S. are structured helps mitigate some of these risks. In our Flame For Life division, we benefit from a strong competitive position by manufacturing locally half of our pocket lighters, which we sell in the U.S., the remaining lighters are imported from Europe. Moreover, our unique manufacturing expertise allows us to maintain the highest quality and safety standards in the market. In Human Expression, the majority of stationary products which we sell in the U.S. are sourced from our plants in Mexico. These products are compliant with the USMCA Free Trade Agreements and are exempt from tariffs. Additional production is supplied by our European plants with the remainder sourced from Asia. In Blade Excellence, our largest shaver manufacturing facility is located in Greece, which produces the majority of the products we sell in the U.S. Now turning to our Q1 performance in the rest of the world, we faced tough year-over-year comparisons. In Europe, Latin America and the Middle East and Africa, we were up against significant net sales growth in the same quarter last year. It's also important to note that the first quarter of 2024 benefited from strong growth in Argentina driven by a hyperinflationary environment which did not repeat itself in Q1 2025. In volatile environments, it's imperative to pull as many levers as possible to get ahead. To that end, our horizon strategy has been effective, giving us clear focus on initiatives we can control. BIC's relentless commercial execution remains one of our key strengths and during the first quarter of 2025, this was once again proven as we've achieved further market share gains in key regions and segments. Let me give you just a few examples. In stationery, we gained share in France, driven by highlighters, correction and coloring pencils with continued growth in e-commerce. In lighters, we continue to outpace the market in Brazil, with growth coming mainly from the utility lighters added value segment, which grew double-digits in both volume and value. In shavers, we gained market share in men's disposables in the U.S. with the success of our Flex 5 range. In Brazil, we emerged as a market leader and are now the number two player with over 25% of market share. Top performers like Flex 3 and Soleil Escape drove growth supported by impactful digital campaigns. During the first quarter, we continued to launch several advertising campaigns for various key added value products, which aligns with our trade up strategy. Let me share a few examples. In Brazil, in shavers, our Soleil Escape summer campaign, which ran from January to April reached a staggering 52 million people and generated 126 million impressions. This campaign effectively strengthened Soleil Escape’s presence, driving consumer engagement and building lasting connections with our target audience. In Europe, we're preparing to launch a campaign in partnership with Netflix around the show Squid Games in the second quarter starting in May. This will coincide with a highly anticipated Season 3 premiere in June. This follows the successful campaign we launched back in December in Brazil to promote the second season of Squid Games, which feature decorated lighters with exclusive designs from the hit show. Lastly in the U.S. later this year during the back-to-school season, we'll again partner with singer songwriter Charlie Puth to promote creative writing with a focus on our iconic 4-Color pen. The campaign will build on the success we saw in 2024, which contributed to BIC's strong performance in the stationery market, winning 40 basis points market share in value. In line with our Horizon goals, consumer centricity and sustainable innovation remains at the heart of our product development strategy. This approach not only accelerates our growth, it also drives important incremental gains through manufacturing excellence. Let me share a few key examples of Q1 product launches that I'm very excited about. Our new Twin Lady/Silky Touch Razor, a variant of our iconic product, now features a handle made from 87% recycled plastic, taking sustainability to a new level. This upgrade reflects our broader mission to further integrate sustainable solutions and responsible manufacturing helping to reduce plastic waste and lower environmental impact while continuing to deliver the high quality products our consumers know and love. The upgraded razor also showcases a fresh, modern pastel palette, blending style and functionality. Additionally, we've reduced the material thickness of the pouch by over 10% in North America and by more than 20% in Europe, significantly cutting plastics usage and weight while maintaining product protection. We also introduced the Flex 5 sensitive razor in several of our key markets the latest addition to our trusted shaving range, clinically proven for sensitive skin. Building on the success of the Flex 5 series and leveraging 50 years of BIC's shaving expertise, this new razor blends advanced technology with precision and comfort. The Flex 5 sensitive features a lubricating strip infused with licorice, an anti-inflammatory ingredient, ensuring an ultra-close and smooth shave with added soothing care. This launch reinforces our commitment to providing high quality, reliable and affordable shaving solutions as we meet the evolving needs of our consumers. Building consumer trust and brand loyalty is a core BIC priority. While BIC is an iconic brand, we continue to work hard every day to preserve this privilege and well-earned status. I'm proud to share that BIC has been named France's favorite consumer brand by OpinionWay Group market research out of over 1,300 brands across all categories, BIC was voted to the top spot. The first non-food brand to win this distinction. And in Australia and New Zealand, our back-to-school program delivered record breaking results making it our most successful season yet. BIC gained 2.8 points in value market share in Australia and 3.5 points in New Zealand, driven by strong growth in both value and units. We're very proud of our recent successes and aim to grow from here. Turning now to Tangle Teezer, our recent acquisition in the hairbrush segment. I'm pleased to say the integration is on track and we reported robust growth in Q1 as part of our Blade Excellence division in line with our expectations. Tangle Teezer's performance was outstanding with double-digit net sales growth. North America continued to perform strongly, gaining distribution and growing in e-commerce despite a tough trading environment and pressure from retailer inventory reductions. In Europe, we had further distribution gains in the modern trade channel in particular, key products contributed to growth included the core detangling product lines supported by new launches such as the Ultimate Detangler Extra Gentle and the Ultimate Detangler Chrome and Matte collections. Plant-based product lines also successfully grew by over 20%. To conclude, while ongoing uncertainties do not leave us immune to the effects of turbulent market conditions, our confidence is undiminished. We will continue to be proactive and stay ahead of the curve. We remain focused on executing our Horizon strategy, which has delivered growth and resilience since its launch five years ago. As we enter the final year of the plan, there is still more to achieve. Nevertheless, we continue to closely monitor the fluid trading environment. We've demonstrated strong agility during volatile and challenging times with high inflation in the past. We can do so again. Our teams are prepared to take action to mitigate the impact of potential tariffs going forward. And now, I'll hand it over to Chad who will take you through our financials and our operational performance by division.
Chad Spooner: Thank you, Gonzalve. Let's begin with an overview of our net sales performance for the first quarter of 2025 on Slide 6. On an as reported basis, net sales for the first quarter totaled €478 million, down 8.3% as reported and 7.0% at constant currency. Excluding the impact from the Tangle Teezer integration, net sales were down 10.9% on a comparative basis. Currency fluctuations had a negative impact of minus 1.3 points. Turning to the next slide, you'll see a snapshot of our Human Expression division performance. Net sales were €153 million down 10.5% at constant currency against last year's high comparison basis in the first quarter, particularly in Europe and Latin America. Starting with North America and the tougher than expected consumer environment, BIC's net sales were significantly impacted down double-digit. The U.S. stationery market declined by 2.7% in value, notably in segments like Ball Pen where BIC is highly exposed. In Europe, key countries are also impacted by lower consumption trends as illustrated by market declines, notably in the UK down 2.5% and in France down 6.8% in value. During the first quarter, our net sales declined low-single-digits in the region. However, we continue to gain distribution in the discounters channel in Eastern Europe as well as in Germany. The success of our recently launched products like the 4-Color Smooth, the 4-Color Pastel and the Highlighter flat range were also positive contributors to growth, demonstrating that our value-added product strategy is working. In Latin America, BIC net sales declined double-digits. As a reminder, our comparison basis in Q1 2024 was high, positively impacted by strong growth in Mexico. During the quarter, in Brazil, performance was negatively impacted by declines in segments such as marking or mechanical pencils. In Mexico, in addition to the high comparison basis from last year, we had soft performance in key stationary segments due to increased competitive activity in the country. And finally, in the Middle East and Africa, we posted low-single-digit growth driven by solid performance from our Moroccan operations as well as from our Lucky Pen brand in Nigeria where we gained share in Nigeria in the traditional trade channel. On Slide 8, you can see our Flame For Life division's performance. Net sales were €172 million down 15.9% at constant currency. Following a challenging year in 2024, our North America lighter business was impacted by a deteriorating trade environment leading to double-digit net sales decline in the first quarter. The pocket lighter market decreased by 6.8% in value while BIC was able to slightly gain share of 20 basis points in the measured market. The first quarter was also negatively impacted by the retailers' orders in Q4 of 2024 ahead of the price increase we announced in the fourth quarter, which was implemented in January. Finally, we also saw some clients reducing their inventory levels given lower consumption trends that are directly impacting their activity. In Europe, following four consecutive years of growth in the first quarter, net sales decreased low-single-digits. However, our value-added lighters performed well. Our utility pocket lighter EZ Reach was the best performing product in the region delivering double-digit growth in 13 countries. Our Djeep premium lighters grew strongly in France doubling net sales versus last year. And finally, this quarter we launched our first utility refillable lighter EZ Load, which got off to a promising start in a few countries. In Latin America, BIC faced a tough comparison basis notably in Brazil and Argentina. In Brazil, our performance was negatively impacted by competition from low cost lighters, which more than offset robust growth from the utility lighter segment in the country. In Mexico, the traditional channel proved to be highly competitive this quarter, more than offsetting the successes from our decorated lighters and the launch of our utility pocket lighter EZ Reach. Turning to Slide 9, let's now review our Blade Excellence division. Net sales were €145 million up 11% on constant currency basis. Excluding the impact from Tangle Teezer, net sales were down 4.5% on a comparative basis. Double-digit growth in Europe mainly came from the consolidation of Tangle Teezer effective from January 1. Moreover, Tangle Teezer delivered strong growth driven by strong distribution gains in both e-commerce in the modern mass market, especially in the U.S. and Europe. Excluding Tangle Teezer, net sales declined mid-single-digits in Europe mainly due to the timing of customer orders for BIC Blade Tech between Q4 of 2024 and Q1 of 2025. However, BIC continued to gain share and distribution in Eastern Europe, the Nordics, the UK and Germany. This was driven by ongoing robust growth from our Flex and Soleil ranges for which our value for money proposition resonates well in context of declining consumption trends. In North America, Tangle Teezer contributed to a double-digit growth in the region. Excluding this impact, net sales grew low-single-digits, illustrating BIC's resilience in a highly competitive market. BIC gained 70 basis points of market share in the men's segment, which declined by 4.2% in value over the period. This solid performance was achieved with the contribution of our Flex disposable and refillable ranges as well as our newly launched Flex 5 sensitive shaver. In Latin America, as in our other divisions, BIC faced a high comparison basis coming from the hyperinflationary context in Argentina last year. Net sales declined slightly in the region impacted by challenging market trends in Brazil more than offsetting the good performance of our added value products such as Soleil Escape and Flex 3. In Mexico, we posted solid performance with mid-single-digit net sales growth and outpaced the market with a 60 basis point increase in market share and value, driven by further distribution gains and the success of our 3 blade segment. This concludes the review of our first quarter 2025 net sales. With that, I'd like to hand it back over to Gonzalve.
Gonzalve Bich: Thank you, Chad. Based on the deteriorating macroeconomic environment that is driving BIC's categories to decline more than expected since the beginning of the year, particularly in the U.S., we decided to change our expectations for the 2025 outlook. Net sales are now expected to grow between 0% and 3% at constant currency in 2025. Adjusted EBIT margin is now expected to be around 15%. And free cash flow is still expected to be above €240 million. While the environment remains uncertain and challenging, our global footprint, resilient margin structure and agile supply chain position us well to navigate ongoing change. As an iconic brand with over 80 years of history, we've weathered challenging times before and emerged stronger. Before I hand it over to the Q&A section, I want to thank all our teams for their dedication and resilience in these challenging times. Their commitment to our values and our strategy gives me confidence in our path forward. With that, we'll answer your questions.
Operator: Thank you very much, sir. [Operator Instructions]. Our first question today is coming from Geoffrey d'Halluin of BNP Paribas. Please go ahead.
Geoffrey d'Halluin: Yes. Good evening, gentlemen's. Thank you for taking my questions. I've got three questions, please. The first one is related to your revenue guidance for the year. Just to get how confident are you to be between flat and plus 5% over the year, given it implies to be back on nicely positive territory over the next coming quarters. So I just would like to get what should drive the goals to be positive in the next coming quarters? My second question is related to free cash flow. So it seems you confirm your free cash flow guidance over the year. Just would like to get how you would reach these levels given the new revenue and EBIT margin targets for the year? And the last question is related to the governance. So you have announced a few changes over the governance. Just wanted to get your thoughts and what explains the changes. Thank you.
Gonzalve Bich: Hello, Geoffrey, and thank you for your questions. Just I'm going to do them in inverse order. Today on the call, we have Edouard Bich joining us given our -- the announcement today around the governance change who will answer your questions. So I'll let Edouard answer that first, and then Chad and I will talk about revenue and free cash flow.
Edouard Bich: Okay. Thank you, Gonzalve. The BIC family, we are deeply committed to the company and its selling values. It acts with a long-term vision and a desire to ensure the sustainability and development of Société BIC. The big family reaffirms its majority control of Société BIC. The decision reflects a clear intention to provide lasting support to BIC growth strategy by offering the necessary needs and stability. The family wanted a representation on the Board of Directors, 6 out of 10 members that is aligned with its investment in the company, while continuing to comply with [indiscernible] which require to -- which require at least one-third of Board members to be independent in a control company. Moreover, in keeping with the historical principle that there is always the BIC -- the head of BIC, the family believes that the Chair of the Board of Directors should be held by one of its members. Especially as the incoming CEO will not be part of the family.
Gonzalve Bich: Thank you, Edouard. Chad?
Chad Spooner: Yes, I'll take them. So Geoffrey, let me start with revenue guidance and the confidence of 0% to 3% I'll say that we are very confident right now in terms of that range should suffice for us to be able to hit the guidance that we're giving right now. And when you think about what will make that up there's a few elements, right? So if I think about it from a geographical standpoint, Europe is going to continue to show growth in 2025, but it will be at a slower rate than what we had in 2024, which is high-single-digits. MEA, it's a smaller region, but it's going to continue to see strong growth, probably the strongest region for our portfolio this year. We'll still be in a high-single-digit growth mode. As we've discussed, NAM is expected to remain very soft due to the challenging consumer trends that we're seeing in the macroeconomic uncertainties, we see that the lower end U.S. consumer is the one being hit the most. And then in LAM, we've historically had very strong performance. It will be a bit softer this year than we've seen in historical years. I will have to say the largest part of our growth contribution. Obviously, on a constant currency basis will come from Tangle Teezer as it continues to perform at or above our expectations. So -- and back to your other point or comment, yes, we will see sequential improvement, obviously, as we go throughout the year, Q2 should see improved performance, getting closer to a flat performance there. And then the second half of the year should get even better. So we'll see that sequential improvement throughout the year. That should comfortably lie us within the guidance we're now giving is 0% to 3%. When it comes to free cash flow, this is one area that I think that we have proven our ability to execute exceptionally well. Last year, €270 million, well above our guidance. Our ability to control working capital, and when we see a business, the growth is in what we anticipate, we obviously modulate our CapEx expenditures as well because we have a lot of CapEx. I think we've told you in the past that 60% of CapEx was growth focused. So you can see us probably dialing that back earlier in the year to accommodate for where we think the sales forecast is going to be. So between working capital and CapEx and just some other performance opportunities we have, we feel very confident in the €240 million on free cash flow.
Geoffrey d'Halluin: Excellent. Thank you very much.
Operator: Thank you very much, sir. [Operator Instructions]. We'll now move to Marie Fort of Bernstein. Please go ahead.
Marie Fort: Yes. Good evening. Thank you for the detailed presentation. My first question is about, you mentioned during the speech that you well-structured to mitigate the U.S. tariff policy. What about shavers where production is located mainly or totally in Europe? Why your competitors are facility in the U.S. And while it's probably more difficult to pass some price increase, so what are the options on the table for this division? The second question is about your hedging policy for the dollar. Can you give us the rate to cover the -- your dollar position for 2025? And also, could you provide an update about the search of a new CEO and the potential date for an announcement. Thank you very much.
Gonzalve Bich: Marie, thank you for the question, I'll let Edouard tackle the CEO search question first. And then Chad and I will talk about your other two.
Edouard Bich: Yes. Regarding the recruiting process, it's ongoing by the succession committee. It's progressing well. We have received many high-quality applications; big strong reputation continues to attract top talents. Our goal is to find the best fit for the future and continued success of BIC and the objective remains for the new CEO to be appointed by September 2025.
Chad Spooner: Thank you, Edouard. Maria let me answer. In terms of the hedging for the U.S. dollar, for 2025, we're locked in at 1.10 for the U.S. dollar to euro. So that's versus 1.08 last year. And you can see that the rates for 2026, they're changing very frequently. So where that ends up, I think consensus on the U.S. euro dollar, you'll see that move every single week with everything that's happening in the world. But we're continuing to consistently lock in hedges for next year because we don't manage -- we don't want to see the fluctuation in FX. So we will have a consistent rate that we're working from by the end of the year for 2026. So speaking about the fluidity of what's happening in the market, your last -- your first question was about tariffs and specifically around late excellence, et cetera. And the first thing I want to say is the fluidity is quite, I mean, it's right. So we just heard this morning that the U.S. President has understood that the Chinese tariffs are way too high and they should be coming down. Last week, there was a comment between the EU and the American President that they're sure to find an agreement, and they're going to come to some agreement soon. So how long tariffs last and to what extent they are, I think is really a moving target, right, which is why we've excluded them from our guidance. But the one thing that we can say is I harken back to several years ago when we had massive cost inflation and BIC experienced close to $100 million, we control, we control very well and we find ways to offset these external factors and the same thing is true with tariffs. So right now, to your point, a majority of our Blade Excellence products comes from Greece, which has a -- currently has a 10% tariff on it for European products. But our team is working to find ways to mitigate, obviously, those. And so if you think just Blade Excellence in the European tariffs, we don't see that as an impeding issue. But you're right. Price is something that the U.S. retailers are being extremely vigilant on, everyone is waiting to see what happens with tariffs before they make a final call on what pricing will or will not be allowed to happen in the market. But focusing just on Blade Excellence, we think that we can offset if that's the only tariff that we have to worry about, but that's not the case.
Marie Fort: Okay. Thank you very much. Just could you remind us the hedging levels on last year in 2024?
Chad Spooner: Last year was 1.08.
Operator: Okay. Thank you very much for your question, Ms. Fort. [Operator Instructions]. Thank you. Okay. Ladies and gentlemen, we do not appear to have any further questions. Therefore, we will end this conference. I’d like to thank you very much for your participation. I would like to wish you a very good day. Thank you very much and good bye.